Operator: Ladies and gentlemen, thank you for standing by. Welcome to the EnLink Midstream First Quarter 2015 Financial Results Conference Call. [Operator Instructions] Please note, this call is being recorded today, Wednesday, May 6, 2015, at 10:00 a.m. Eastern Time. 
 I would now like to turn the meeting over to Ms. Jill McMillan of EnLink Midstream Partners. Please go ahead, ma'am. 
Jill McMillan: Thank you, Keith, and good morning, everyone. Thank you for joining us today to discuss EnLink Midstream's First Quarter 2015 Results. 
 On the call today are Barry Davis, President and Chief Executive Officer; Mike Garberding, Executive Vice President and Chief Financial Officer; Steve Hoppe, Executive Vice President and President of the Gathering, Processing and Transportation business; and Mac Hummel, Executive Vice President and President of the Natural Gas Liquids, Crude and Condensate business. 
 We issued our first quarter 2015 earnings release this morning, and we will file the 10-Q later today. To accompany today's call, we have posted the earnings release on the Investor Relations portion of our website. If you would like to listen to a recording of today's call, you can access the webcast replay on our website. 
 I will remind you that any statements about the future, including our expectations or predictions, should be considered forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are subject to a number of assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements, and we undertake no obligation to update or revise any forward-looking statements. 
 We will discuss certain non-GAAP financial measures, and you'll find definitions of these measures as well as reconciliations of these non-GAAP measures to comparable GAAP measures in our earnings release. We encourage you to review the cautionary statements and other disclosures made in our SEC filings, specifically those under the heading Risk Factors. 
 I will now turn the call over to Barry Davis. 
Barry Davis: Thank you, Jill. Good morning, everyone, and thank you for joining us on the call today. Before I discuss our results for the quarter, I'd like to quickly address the commodity price environment and why EnLink is well-positioned for stability and growth. 
 As you know, our industry is experiencing challenging market conditions, with a downturn in oil and gas prices, which has impacted producer activity and production levels. In the last 8 months, crude prices have dropped approximately 60%. Gas prices have dropped by approximately 30%, and rig counts have fallen by approximately 50%. In an environment like this, no company is immune. While we expect the commodity environment will be challenged over the near term, longer term, we believe we are well-positioned for growth. 
 We purposefully created EnLink to ensure stability of cash flows regardless of the market environment. Approximately 95% of our gross operating margin is fee-based, which limits our direct commodity exposure. We have a strong investment grade balance sheet that provides us with a low cost of capital. And Devon's strong sponsorship, which includes 100% fee-based contracts with minimum volume commitments, accounts for a little over 50% of our gross operating margin. 
 Additionally, we recently made a number of acquisitions near our existing asset footprint, which include the Gulf Coast natural gas pipeline assets that expand our franchise position in South Louisiana as well as our recent acquisitions in West Texas and South Texas that are located in the core of the Permian and Eagle Ford Shales. These assets have only been under our control for a few months and have yet to realize their full earnings potential as we integrate them into the business. 
 EnLink is a strong vehicle for sustainable growth with well-positioned assets and a strong financial foundation that allows us to successfully compete in times like these. When we do come out of this downturn, we are confident in our ability to capture additional upside and opportunities quickly. We have a proven track record of organic growth, asset drop-downs and successful acquisitions. And we will continue to take advantage of the opportunities from our growing asset base, increased financial capacity and unique sponsorship with Devon. 
 Now let me turn to our recent accomplishments and first quarter results. We are continuing to execute on our growth strategy and have performed extremely well in our first year as EnLink. We are utilizing each of our 4 avenues of growth to create value over the near and long term and have completed approximately $3.7 billion of drop-downs, growth projects and strategic acquisitions. This includes the completion of $1 billion of organic growth projects in South Louisiana and the Permian Basin. We've also completed $1.3 billion of drop-downs, which include the Victoria Express system in the Eagle Ford, 25% of EnLink Midstream Holdings and the E2 assets in the Ohio River Valley. We're in development on over 400 -- sorry, $500 million of new growth projects with Devon and third parties in the Permian, Ohio River Valley and South Louisiana. And we've closed on $935 million of acquisitions, which include the Chevron assets in Louisiana Gulf Coast and LPC Crude Oil Marketing and Coronado Midstream in the Permian Basin. We remain optimistic about the future and are focused on executing on our 4 avenues of growth, which position us to reach our goal of doubling the size of the company by the end of 2017. 
 Now I will quickly address first quarter results. During the quarter, our combined adjusted EBITDA was $168 million, which was in line with our expectations. We raised distributions by $0.005 to $0.38 per unit of ENLK, and we increased distributions by $0.01 to $0.245 per unit of ENLC. 
 I will now turn the call over to Steve, followed by Mac, who will discuss the Gas and Liquids Business Unit in greater detail. And our CFO, Mike Garberding, will then provide an update on our financial performance. Steve? 
Steven Hoppe: Thank you, Barry, and good morning, everyone. We're pleased with the Gas Business Unit's first quarter performance. We're confident in our abilities to grow this portion of business through strategic location of our assets and by leveraging our relationship with Devon. 
 In North Texas, our first quarter results were consistent with our expectations. As a reminder, a large majority of our income from the region is supported by long-term, fixed-fee contracts with significant volume commitments from Devon for gathering and processing services, which helps to insulate us during times like these. North Texas system volumes were slightly ahead of expectations for the quarter. This is because of our optimization efforts and Devon's refrac program in the region. 
 Last quarter, we said that Devon was focused on a high rate of return vertical refracs from legacy wells in the core of the play. In the first quarter, we benefited from Devon's success in this program as they refracked 50 of the 200 wells they plan to complete in 2015. In addition, we connected 17 new wells and have been able to reduce pressure at 11 compressor stations, which has contributed an estimated 1% reduction to the 10% decline rate that we previously announced in North Texas. Devon's refrac program is just getting started, and we believe that there is potential from Devon and other producers for additional volumes, not only in North Texas but also in some of our other business areas, including the Haynesville and Eagle Ford, where producers are applying this technology to older wells. 
 We continue to work closely with our customers, and we're focused on offsetting declines through the connection of new wells, the refrac of existing wells, pressure reductions on our pipeline and consolidation opportunities. I would also like to mention that we have exposure to Quicksilver's filing for Chapter 11 reorganization of approximately $5 million to $7 million in 2015, but we are working to mitigate this anticipated negative impact. 
 We remain confident in our North Texas assets where we have significant platform that positions us for long-term growth and stability. As a reminder, 86% of our income in North Texas is supported by long-term, fixed-fee contracts with Devon for both gathering and processing services. This gives us a significant advantage through activity -- although activity in the area remains slow today, we believe that our customers have a great future potential to resume drilling the thousands of rich gas locations around and dedicated to our North Texas assets once commodity prices recover. 
 Now moving to Oklahoma. We are pleased with our performance in Oklahoma, and we have begun executing on the expansion of the Cana-Woodford gathering system. This expansion supports Devon's drilling activities in the region and will add 75 million a day of gathering capacity by the fourth quarter of this year. 
 As we stated on our last earnings call, we expect the volumes to increase in the second half of 2015 as Devon continues their drilling program, which includes approximately 75 wells in 2015, of which a portion will be connected to our Cana gathering system. 
 We're also very excited about the growth potential from Devon's plans in the Meramec. Devon announced yesterday that they have de-risked 60,000 net acres in the oil and liquids window of the play, which is a 70% increase from their previous estimate. They have drilled or participated in 12 wells already and plan to drill or participate in 30 more in 2015. Much of this acreage is within EnLink's dedication from Devon. 
 Before I move on to our West Texas results, I'd like to address an operational issue that we experienced last month at our Cana plant in Oklahoma. We had a heat exchanger at 1 of our 2 plants that cracked. We did attempt to repair it, but unfortunately, the unit must be replaced. Until we have the new unit, the plant cannot operate, and we are unable to process approximately 110 million cubic feet a day of gas from our Cana gathering system. We anticipate the plant will be offline for approximately 3 to 4 months, and the financial impact could be approximately $3 million to $5 million in operating income and $2 million to $3 million in maintenance capital expenditures. We expect these costs to be incurred in the second quarter, and we're working hard to resolve this issue and return to normal operations as quickly as possible. Additionally, we are working to potentially mitigate these losses through our insurance coverage. Overall though, we are very pleased with our position in Oklahoma and continue to see its long-term growth potential. 
 Moving on to West Texas. But before I discuss the operations in Permian, I'd really like to welcome Andy Deck to the EnLink leadership team as the Senior Vice President of Permian Basin. Andy was previously the CEO of Coronado Midstream, and we are very excited to have him on board. And we're going to benefit from his expertise and experience in the region. 
 The Permian Basin is a key growth area for EnLink, and despite current commodity prices, it continues to serve an economic play for many producers. As you know, the acquisition of the Coronado and LPC assets allow us to further expand our footprint and enhance our service platform. These assets are located in the core of the North Midland Basin where economics are among the most favorable of all oil-producing plays in the U.S. Mac will provide you more details on how LPC is performing in just a bit, but overall, these assets are in the right neighborhood, with dedicated volumes with strong and active producers. 
 We've been working hard integrating our West Texas assets and the newly acquired Coronado system. We just completed the transaction in March, and we're excited about the opportunity to grow our midstream platform by leveraging our expanded service offerings in the region. Our system is supported by focused and active producers such as CrownQuest, Reliance, Diamondback and RSP Permian and includes dedications of over 245,000 acres. 
 We've created a multi-county rich gas gathering and processing system that offers extensive low-pressure gathering services, cryogenic processing and multiple delivery points for marketing our customers' products. And right now, there are approximately 14 rigs operating on EnLink dedicated acreage in the Midland Basin, and we are working to expand our system capacity to accommodate this activity. 
 As part of the Coronado acquisition, we acquired the Riptide plant, which is currently under construction and, when completed in the first half of 2016, will add 100 million a day of processing capacity. We are also expanding our gathering system capacity to 285 million a day by adding compression at 4 existing compressor stations. And we have approximately 40 miles of high and low-pressure gathering lines at various stages of construction. These expansions will allow us to connect new supplies of gas and provide gas takeaway solutions for constrained producer customers in the region. 
 Overall, we remain confident that our growing midstream platform in the region will be an integral part of EnLink's success in the future. 
 I'm going to now turn the call over to Mac Hummel, who will give you an update on our natural gas liquids, crude and condensate business. 
Mcmillan Hummel: Thanks, Steve, and good morning. We're pleased to report a strong quarter for the Liquids Business Unit as we continue to work towards the completion and integration of several transactions. 
 In Louisiana, our gas transmission volumes were approximately 1.4 Bcf a day, a record quarter, largely due to the successful integration of the former Chevron pipeline assets. We also had our highest quarter for NGL volumes as the Cajun-Sibon pipeline volumes averaged approximately 120,000 barrels per day. 
 I'd also like to quickly touch on our joint venture pipeline with Marathon that is expected to be in service in the first half of 2017. The project's budget has been confirmed and formally approved by the parties. We've begun acquiring right away, and we filed the Corps of Engineers permit in early April. To date, everything is proceeding as expected on the project. 
 Next, I'll discuss our crude and condensate businesses, which is a new segment for EnLink. We historically recorded performance for the Ohio River Valley, or ORV, as its own segment. We've now combined ORV, LPC Crude Oil Marketing, or LPC, in the Permian Basin, our Louisiana crude terminals and the Victoria Express assets in the Eagle Ford to create a new crude and condensate segment. 
 The first quarter of 2015 was transformative for this segment. In December, we were moving about 25,000 barrels per day in our crude businesses. Today, that number has increased to nearly 150,000 barrels per day, demonstrating strong growth and great success in building this segment. 
 In ORV, we experienced a solid quarter and increased earnings. The increase from 2014 earnings was due in large part to the natural gas compression and gas condensate stabilization facilities installed for Antero and Eclipse. We continue to believe that the primary growth vehicle for our ORV business will be condensate services when drilling activity recovers. 
 The open season for the ORV Condensate Pipeline ended in mid-April, and we continue to work with interested parties in bringing volumes to the pipeline. As we continue those discussions, we will develop more clarity on the timing of the pipeline, which we believe is the right solution for the industry. 
 When pipeline construction has commenced, we are well-positioned, having already received our Corps of Engineers permit, having acquired approximately 95% of the right-of-way and having cleared nearly 100% of the timber on critical path sections of the pipeline. And in the interim, we remain well-positioned to continue providing services for increased condensate volumes due to our existing truck fleet, storage assets and barge and rail loading facilities. 
 Moving to the Permian Basin. Our LPC acquisition is a great example of how we're -- of how we've expanded our platform and service offerings in areas we know well. Overall, LPC performed well this quarter, moving sustained volumes of approximately 70,000 barrels per day of crude compared to about 60,000 barrels per day when it was acquired in January. In addition to LPC's traditional customer base, this business provides us with the opportunities to grow into the Delaware Basin and expand our service offerings to support Devon and other customers. On that front, I'm pleased that we have begun moving Devon crude volumes out of the Delaware Basin and we expect those volumes to grow over time. 
 Moving to the Eagle Ford and the VEX pipeline. VEX became an area for growth for EnLink once we completed the drop-down on April 1. These assets give us a new platform in the Eagle Ford, allowing us to provide high-quality services to producers and marketers in the area, including Devon. We are working to integrate the VEX assets and complete the pipeline and storage expansion projects before year-end 2015. 
 Current volumes are in excess of 50,000 barrels per day, of which 30,000 barrels per day are received into the pipeline and the balance is received at our truck loading terminal and storage facilities at the port of Victoria. 
 The investments and progress we made in our Liquids Business Unit are well aligned with EnLink's long-term strategy. We've built strong assets in good locations, and we are confident the Liquids Business Unit will continue to drive growth for EnLink moving forward. 
 I will now turn the call over to our CFO, Mike Garberding, to review our financial results. Mike? 
Michael Garberding: Thanks, Mac. Good morning, everyone. Before I get into updates on our financial performance for the quarter, I want to remind everyone of one financial reporting issue that is consistent with what we have said in the past. The combination of Crosstex and Devon Midstream Holdings was treated as a reverse acquisition, which means that Devon Midstream Holdings is acquirer in the transaction because its parent, Devon, obtained control. Since the reverse acquisition closed on March 7, 2014, first quarter year-over-year comparisons still don't provide much insight or relevance for analysis, but this will start changing next quarter. 
 As Barry mentioned, we are completing -- we are competing in a challenging commodity environment, and we are very focused on providing stable cash flows while still growing the business. The first quarter was a very active period for EnLink on the acquisition front as the Partnership has competed approximately $1.8 billion in drop-downs and third-party acquisitions to date. These include LPC, which closed on January 31, for $100 million; the first EnLink Midstream Holdings drop-down, which closed on February 17, for $925 million; Coronado Midstream, which closed on March 16, for $600 million; and the VEX drop-down, which closed on April 1, for $180 million, excluding follow-on capital. These acquisitions were made possible by a strong balance sheet, our strategic footprint, our sponsorship with Devon and excellent project execution from many teams at EnLink. Some of these opportunities also came about because of the current commodity environment. The majority of these acquisitions have only been under our control for a couple of months, and we have not yet realized their full earnings potential as we are still integrating them into our business. 
 Moving to the first quarter. EnLink realized adjusted consolidated EBITDA of $168.2 million, which is down approximately $9.5 million compared to the fourth quarter 2014 results. Consolidated gross operating margin for the first quarter of 2015 was approximately $278.9 million, which is a decrease of approximately $20 million compared to the fourth quarter of 2014. The decrease in gross operating margin was largely due to a $24 million noncash gain on derivative activity in the fourth quarter and anticipated declines in North Texas, which offset growth in Louisiana and the Permian Basin in the first quarter of 2015. 
 The Partnership declared a distribution of $0.38 per unit for the quarter, which resulted in a 0.88x distribution coverage ratio. This coverage ratio was consistent with our expectations for the quarter discussed during our year-end call and was impacted by a variety of items, including: onetime transition costs in the Chevron acquisition; the issuance of 6.7 million common units for the Coronado acquisition while only receiving a partial month of March operating income from the assets; the issuance of 338,000 common units for the VEX acquisition while receiving no operating income from the assets; limited impact from our other acquisitions we have just closed, which include LPC and Chevron; and reduced operating income from our North Texas segment. 
 From a balance sheet standpoint, our leverage remains in line with our expectations as debt to adjusted EBITDA was about 3.8x at the end of the first quarter. This leverage ratio should be reduced to around 3.5x with the final drop-down of EnLink Midstream Holdings, which we still expect to happen in the second quarter. The drop-down will provide significant additional unlevered cash flows to the Partnership in return for ENLK units to our General Partner. As we mentioned in our last earnings call, we do not expect any marketed equity issuances this year with our current plans we have announced. 
 We expect our second quarter consolidated adjusted EBITDA to grow modestly due to the recent acquisitions in drop-downs providing full quarter contributions, but that growth will be partially offset by the previously mentioned issues, including the downtime in our Cana processing facilities and Quicksilver's Chapter 11 filing. We  currently expect the second quarter distribution coverage ratio at the Partnership to be less than 1x due in large part to these events. However, we expect the Partnership distribution coverage ratio to be about 1x for the year. 
 The General Partners cash available for distribution was $52.1 million for the first quarter of 2015, which was down approximately $14 million from the fourth quarter of 2014. This reduction was primarily due to ENLC's reduced ownership interest in EnLink Midstream Holdings because of the first phase of this drop-down. This results in a 1.29x coverage ratio on a declared distribution of $0.245 per General Partner unit. Note that the Partnership's first quarter distribution of $0.38 per unit surpassed the highest level of incentive distributions, which has a $0.375 per unit threshold. 
 As we look ahead, EnLink is well-positioned within this commodity environment. We maintained a strong balance sheet with a financial strength to withstand these challenges. We have fully funded our $1.8 billion in acquisitions, and we see lots of opportunities with these new businesses. Furthermore, we remain focused on taking advantage of additional opportunities that arise in this down cycle, and we see significant upside to our business when commodity prices improve. We also have a strong partnership with Devon that is enhancing our growth. 
 I'll now turn the call back to Barry for closing remarks. 
Barry Davis: Thank you, Mike. As I've stated earlier, we are prepared for and, in fact, built for all business cycles. We are well aware of the impacts that the current operating environment has on our business. However, we're confident in our ability to withstand this cycle with stable fee-based contracts, outstanding customer relationships, diversity by basin and assets and a strong financial position backed by Devon as our partner. With these key strategic advantages, we are well-positioned to continue to create value for our equity-holders and our customers well into the future. 
 With that, our operator, Keith, will open the lines for your questions. 
Operator: [Operator Instructions] And the first question comes from Darren Horowitz with Raymond James. 
Darren Horowitz: Barry, a couple of questions for you this morning. The first, going back to the comments that you made around Devon. When you guys think about their ability to refrac existing wells and incremental volume growth there to help kind of offset the organic decline curve, in addition to them de-risking that 60,000 net acres that you discussed and how much additional volume growth that could add, has there been any change to throughput expectations in the back half of this year or expectations around the first half of '16? 
Barry Davis: Darren, it's a great question, and you bring up something that we're really beginning to understand better, as Devon understands it better. But we are excited about seeing something that looks like essentially a renewal of activity in an area like that in the Barnett. I think you can look at what Devon's done in the Cana to see what the potential might be for the Barnett. There's actually been some pieces written about that and the potential that exists in those older fields where the technology was less advanced at the time they were developed. So we're excited about the potential. 
 Specifically to your question, have we begun to put numbers on what the potential might be? I think it's too early to do that. We did highlight that this quarter, it offset about 1% of the 10% decline that we forecasted for the Barnett for example. And we would expect that potentially that will continue going forward. And as you will, we'll be watching closely to see how that will impact our volumes there in the Barnett. So Steve, do you have any comments on the 60,000 acres? 
Steven Hoppe: So I think that what you're seeing is that through 12 wells that Devon had drilled and their commitment to add 30 more on that Meramec this year is very positive. And if you recall, in their last quarter, they were at 35,000 acres of prospective, and that's grown now to 60,000 acres. So I think that just indicates the results that they had with those 12 wells being very good. 
Darren Horowitz: Okay. And then for my final question, if I could just shift over to the Permian. Obviously, through the drill bit, that's been area where I think Devon's had some great success. And correct me if I'm wrong, but I still think their production year-over-year should be up at least 20%, if not closer to 25%. And I know from a capital allocation perspective, that could consume 1.3 or better in terms of CapEx going into the ground. And I'm just curious in terms of the opportunity set as you guys see it unfolding for infrastructure development there. Obviously, there could be meaningful volume growth. I think you've got 245,000 plus acres dedicated to infrastructure. So obviously, a lot of throughput enhancement for you. And it seems that from a capital allocation and return perspective, that area and maybe South Texas might be the 2 best bangs for your buck. So I'm just wondering, with the movement in crude seemingly off the bottom here and a more constructive forward curve, how are you thinking about capital deployment? And has anything changed when you're discussing with Devon? 
Barry Davis: Darren, let me begin that with some thoughts. First of all, as we've seen, the relationship with Devon continues to provide opportunities, and we're really capitalizing. We're taking advantage of those. The Permian is a real big area for us. And we're all just more and more excited about what we're seeing with the team coming together, with our Northern Midland Basin opportunities that we see. I think you specifically highlight the capital investment that they're making in the Delaware. And we're encouraged by having the first increment of that service being the logistics business that we're providing for them there. And I'll ask Steve to comment over longer-term what we might be able to do in the Delaware. 
Steven Hoppe: So long-term in the Delaware, we're working closely with Devon. We think there's a lot of opportunities, not only with Devon, but we're also looking to get a position in that area that -- much the same way we did in the Midland Basin. We started with a small position, and we're able to grow it. So we're employing that same tactic, and we think that there will be opportunity with Devon but also a lot of other customers and potential customers in that area. 
Barry Davis: And let me add, Darren, just to be realistic. We have highlighted before that much of Devon's acreage in the Delaware is dedicated under prior contracts to other midstream providers in that area. So we'll have to be creative. We'll have to work around those things. But we do think that Devon can be helpful and additive to what we will be able to do in that basin. 
Operator: And the next question comes from TJ Schultz with RBC. 
TJ Schultz: I think first, just back to North Texas, if you could just expand on some of the consolidation opportunities, if there's anything at advanced stages here. Or just how do you view your stance on consolidating that area given the limited activity? 
Barry Davis: Yes, TJ, let me say there's a reason you asked us that question about the consolidation, and that is because we're the largest operator in the North Texas or Barnett Shale area. And we certainly are in a great position to consolidate. We know a lot about the basin, both from a geologic standpoint with the relationship with Devon. We operate a large infrastructure there. So we do think that, that's going to be an opportunity. We are reaching a maturity state in that play where you think consolidation is going to make sense. But we'll stop there because it's not clear at this point what the first opportunities will be. But we still feel confident that we'll see some consolidation opportunities that will accrue to us and our position in the field. 
TJ Schultz: Okay, good. And then following up on some of Devon's Meramec success, does that have any impact? Or just generally, where do you stand on the potential that you've talked about to link the Cana and North Texas systems? 
Steven Hoppe: So that's still, as we stated in our analyst call, early in development. But I think that if you look at those results from the Meramec and continued success that Devon has in Cana, that's just going to further support projects like that. So we're continuing to be very optimistic about that opportunity. 
TJ Schultz: Okay. The ORV Condensate Pipe, just moving to that, is that a matter of when and not if or if you could frame the customer discussions and maybe the competitive landscape to get that done? 
Mcmillan Hummel: Yes. We continue to work on the ORV Condensate Pipeline. As we've discussed before, the drilling activity is down in the area, and it's led to some uncertainty with the producers with regards to their ability to commit volumes to the pipeline. So we continue to discuss it with producers. We continue to work with interested customers to bring barrels to that pipeline. We continue to believe it's the right answer -- the right industry answer for the area to move those barrels via pipeline versus truck. But in the interim, we -- as we said in our earnings announcement, we are -- continue to be well-positioned to provide service for those barrels prior to a pipeline being in service. As we sit here today, we do expect it's when, not if. But we're going to continue to look at that landscape and continue to look at the supply availability and then we'll make the decision. 
TJ Schultz: Okay. Just lastly, in South Louisiana, at the Analyst Day, you guys certainly did discuss some re-purposing of the pipes and some optimization efforts, I think about $350 million of potential projects. Just an update on those efforts, when that money is starting to be spent and then how we should think about upside to that project basket. I think there was another $350 million of potential projects coming out of there. 
Mcmillan Hummel: Yes. We continue to work hard on those projects. There's really a large inventory of projects we've got there. We talked about the number of projects we had during our Analyst Day. And we put them into 4 buckets, if you'll recall. We talked about those that are supply-oriented. We talked about those that are market-oriented. We talked about those that are optimization-oriented and then storage-oriented. And we continue to work on the projects across all of those buckets. And some of those projects have already come into service and already have been executed. We expect others to start rolling in within the next month or 2. So I think it's great news. I think we identified the right kind of opportunities, and I think we're executing on the right kind of opportunities. 
Barry Davis: TJ, I'll just add that some of the larger bolt-on opportunities that we've spoken of, clearly, are going to be longer in development, and it really is responding to what we think will be as much as 10 Bcf a day that comes into Louisiana. And we're taking advantage of the infrastructure, in some cases, the redundancy of infrastructure to essentially provide market access for that volume that comes into the state. And then, obviously, there's still a lot of crude and a lot of NGLs that are trying to get into the Mississippi River corridor area, the St. James market, and we're in the middle of those discussions. And so -- but they will take more time. 
Operator: And the next question comes from John Edwards with Crédit Suisse. 
John Edwards: Just following up TJ's question on -- in terms of potentially consolidating in the Barnett. I mean, I guess, as far as timing on that, I mean, do you think it's kind a next 12 months type opportunity? Or is it more like a next couple years type of event in thinking about that? 
Barry Davis: Well, John, let me comment on that. I'd say, first of all, that there are a number of small consolidation-type activities that could be nearer term. Some of the larger consolidations, those things take time, and they're really hard to achieve in this industry. So we don't want to overpromise on being able to achieve consolidations, even where it's obvious that it would make sense, that there would be synergy with the consolidation. So I think near-term, we could see some steps that will begin, but probably, I would look into 2016 for anything that is of significant size. 
John Edwards: Okay, that's helpful. And then you mentioned in -- Barry, in your comments in terms of there's potential upside as commodity prices improve. Do you have sort of -- just so we can -- to benchmark that for -- say, for every $1 or $10 in crude, however you look at that, or every, say, $0.10 in NGLs, kind of what -- approximately what that impact might be? Do you guys have like a table like that or just maybe you could just kind of directionally, on a percentage basis, kind of give us an idea so we can sort of help benchmark our own forecast. 
Barry Davis: Yes, John, let me start and then I'll hand it to Mike to try to put some numbers -- some context to that. But let me just say that if you go back and listen through this call, which I know you do and you decipher everything that we said, I think what you're going to see is all of the unrealized potential that exists in the things that we've done over the last 12 months. So those are the things that we're most excited about, when we really see the benefit of the infrastructure that we've added, all of the bolt-on opportunities, fully integrating and transitioning the things that we've done. And then the second, really, significant area of upside for us is just pure commodity opportunities. And so again, I'll just say, we're excited about that. We think right now, I've said that I think the business, just financial performance, this is kind of the -- this is not, at all, the best that it could perform. And you'll see that improvement as you see some industry activity and commodity prices upturn. So Mike, if you could add any context to the numbers, that would be great. 
Michael Garberding: Yes. So when you think about it, John, we always tout it's 95% fee-based. So from a direct commodity exposure opportunity, it's smaller. We used a number in the past when we said, "Okay, at year-end, we thought we had about $50 million of margin directly related to processing that had gone away from us with the price decline." And that was just processing. So not a big number but just an opportunity we have that's not there today. You can see from our disclosures that about 95% of our processing margin today is fee-based. So very, very little opportunity in processing. The bigger piece for us, like Barry mentioned, is really the volume opportunity and use Permian as an example, right? So the Diamondback, the big producer on us, if they're getting returns anywhere from 50% to 100% at $50, you're sitting at crude today, like someone mentioned, at $60 or north. It's a very different factor of what they're thinking from a return component. And that's where we see the tremendous upside is the producers relooking at what they're doing and increasing activity and us moving it whether by LPC on truck or whether by moving on our Permian footprint. That's where we see the value to the business. 
John Edwards: So yes, because you have touted the 95% issue quite a bit. So basically, Mike, it sounds like what you're saying is that as -- given this potential volume opportunity, maybe that mix moves a little bit as a result of commodity prices. So maybe your 95% fee, I mean, would it be fair to say it might move to something like 85% or 90% just because of the volume impact that you might see from a move-up in commodity prices? I mean, is that the right way to think about this? 
Michael Garberding: Yes. We believe with our mix of business, we're probably somewhere between probably that 5% to 10% of commodity exposure even in an upward commodity market because we do have some additional commodity contracts that we have with the Coronado acquisition. But overall, we still believe the business will be about 90% fee-based even with the increase in prices. 
Operator: [Operator Instructions] And the next question comes from Craig Shere with Tuohy Brothers. 
Craig Shere: Picking up a little on John's questioning regarding commodity sensitivity. When things kind of imploded a little in the industry and volume growth was in some question, you all pulled back slightly on the growth projects assumed to feed into that year-end 2017 target and kind of emphasized that there might be some M&A opportunities in the low kind of energy market environment that could fill in. As we now see $62 prompt WTI pricing, mid-60s for next year, can you kind of give a sense for both what this might mean in terms of longer-term volumes, new development projects and the bid-ask spread on M&A markets? 
Barry Davis: Yes, Craig, let me begin by just saying that we continue to be confident in our ability to reach our objective of the $1.4 billion by the end of 2017 and just acknowledging the 4 different ways, the different valves that we have or outlets that we have for growth. So exactly how we will -- that mix will be over the next couple of years, I think, will be dependent on where we see commodity prices and what kind of opportunities it drives. In a higher commodity price environment, certainly, we're going to see more organic and simple growth behind our existing platforms. We are seeing -- continuing to see and seeing development every day of more M&A opportunities as people have kind of become less optimistic about the future. We're seeing those opportunities. We're vetting those opportunities. But I'll remind you that we think that we're in a great position. We don't have to do the M&A. So it's a great position to be in as we see opportunities come to us. And we'll continue to be disciplined about trying to add things, add things that are really strategic bolt-ons, maybe a step into a new area if we see the right opportunity. And so I would say the bid-ask certainly has come in line. We could say on a couple of transactions that we are very familiar with today the bid-ask is much tighter today than where it would have been 90 days ago. So we think that there'll be some things that get done, whether by us or by other parties. I'll just say, we think that M&A activity is more likely going to get done. 
Craig Shere: That's very helpful. And Mike, can you -- you kind of commented that a lot of the acquisitions didn't contribute much, but you had dilution and costs associated with them. Can you comment about G&A and OpEx trends through the rest of the year? 
Michael Garberding: Yes. You did see -- so if you look, you did see G&A -- you'll see G&A increasing in the first quarter. And then ultimately, if you look on the DCF EBITDA reconciliation, you'll see an add-back. There was a deal cost embedded in the first quarter, and there were some noncash costs embedded in the first quarter. So that will look higher to other quarters during the year from a G&A standpoint. OpEx, again, should be about running the same range as far as what we see on OpEx, other than the addition of the new businesses that will step in over time. 
Operator: And the next question comes from Jeff Birnbaum with Wunderlich. 
Jeffrey Birnbaum: So, sorry if I missed it, but did you say that Cana plant downtime began in the first quarter? Or was that in April? 
Steven Hoppe: It began in April. 
Jeffrey Birnbaum: Got it. Okay. And you commented just kind of on trying to kind of get some of that back from insurance, the losses you're expecting there. Would that be just on the kind of the operating income foregone, replacement costs or potentially both that you'd be trying to get back there? 
Michael Garberding: Again, we have opportunities on both, but as everyone knows, insurance is a lengthy process. So we'll just continue to work with them to get to a good answer. 
Jeffrey Birnbaum: Okay. And I guess -- so, I guess, if the Cana plant wasn't really -- that wasn't a hit in the first quarter, it looks like on holdings the annualized run rate was about $390 million in EBITDA in the first quarter. And I was just wondering if you could perhaps comment on where you view kind of potential kind of upside, downside from there. I mean, obviously, that's been trending lower. But given some of the MVCs you've got and some of the refracs and new drilling potentially coming in the second half, kind of how you're viewing that. 
Michael Garberding: Well, just think from a pure add them up, right, because, again, LPC was partial first quarter, Coronado was partial March, VEX was not included in the first quarter. So if you just think of the additions on that and then take the base business and look at what's happening on the base business and use Cana as an example, right, Devon was -- had -- is really ramping up drilling in the second half. So we'll see that increasing in the second half. So I'm not sure that the first quarter is a good proxy for thinking about the direction of the entire year. 
Jeffrey Birnbaum: Okay. I mean, I guess, another way of asking, do you see -- if volumes didn't come on as expected, is there substantial downside from where we are today, just a few million dollars in downside, if current volumes kind of -- if volumes didn't recover as you're expecting? 
Michael Garberding: Well, again, we're not necessarily saying volumes recover as expected. We're saying based on the activity, that we know, right? So you can look to what Devon said their expectations on Cana is. And the others are -- go to LPC volumes. But Mac talked about where we didn't get a full quarter of operations, and we're still integrating that business into expanding services to parties like Devon. So I'm not sure if volumes return to expect or, really, new volume opportunities that we're working on to bring into the business. 
Barry Davis: Jeff, I would -- this is Barry. I would add that as we stated in our prepared remarks, we are not changing our guidance outlook at this time. Our view into the second quarter is a modest increase on an EBITDA basis. And so when you take all of those things into consideration, and certainly, we're looking at our expectations for volume, that's the way we feel about the business going forward. 
Operator: And as there are no more questions at the present time, I would like to turn the call back over to Mr. Davis for any closing comments. 
Barry Davis: Thank you, Keith. In closing, these are exciting times for us here at EnLink. We are positioned for long-term sustainable growth in the key basins. Our relationship with Devon continues to create abundant opportunities. We have strong business relationships with our key customers that make us the provider of choice, and we have the right people. We appreciate you joining us today and all the support that you give us. We look forward to seeing you on the road or on this call in the next quarter. So thank you, and have a great day. 
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.